Operator: Good morning. My name is Denise and I'll be your conference operator today. At this time I'd like to welcome everyone to the Ternium Third Quarter 2017 Results Conference Call. [Operator Instructions] Thank you. Sebastián Martí, you may begin your conference.
Sebastián Martí: Good morning, and thank you for joining us today. My name is Sebastián Martí and I am Ternium's Investor Relations Director. Ternium issued a press release yesterday detailing its results for the third quarter 2017. This call is complementary to that presentation. Joining me today are Mr. Daniel Novegil, Ternium's CEO; Mr. Pablo Brizzio, Ternium's Chief Financial Officer; and Mr. Maximo Vedoya, Ternium's Mexico's Executive Vice President, who will discuss Ternium's business environment and performance in the third quarter 2017. At the conclusion of our prepared remarks, we will open up the call to your questions. Before we begin, I would like to remind you this conference call contains forward-looking information and that actual results may vary from those expressed or implied. Factors that could affect results are contained in our filings with the Securities and Exchange Commission and on Page 2 in today's webcast presentation. With that, I'll turn the call over to Mr. Novegil.
Daniel Novegil: Thank you, Sebastian. Dear gentlemen, a good morning to everybody and thank you so much for all of you participating in today's call. I will start today by making a few comments regarding the announcement about my succession as Ternium's CEO. Actually, as a matter of fact, a Maximo Vedoya is participating today with us in the call, and we believe this could be a good opportunity for those of you who don't really know him to listen and to hear his thoughts and his ideas, especially looking forward. I would like to start this call first of all thanking Paolo Rocca and the rest of the board of directors of Ternium for having given to me the opportunity and responsibility to lead this wonderful company for so many years. And it has been quite an adventure for me over the past 12 years, filled with a lot of success, challenges, ups, downs, good, bad, and that has been very interesting and -- so to speak, and so to say, rewarding to me and to the company. It has been to me a privilege to serve as Ternium's CEO and to work alongside this very qualified management team. I also take the opportunity to thank all of you, the investment community represented by you, for listening today and for participating in the calls, in Investor Days, in non-deal road shows and so on, and I want to thanks also for your support and interest in Ternium over these many years. Gentlemen, I really do appreciate what you've done for the company and all the interest that you show over the years in Ternium's success and history. No doubt that in my view and in the board of directors' view, and in the view of Paolo Rocca as well, Maximo is the right person to succeed me as CEO, for many reasons. In his current role as Ternium Mexico Executive Vice President, Maximo has been responsible for leading a significant and very important part of our business so far, and he has experienced the leadership skills, the knowledge and the personality to lead Ternium into the future and into the new phase of growth of our company. Maximo's appointment as CEO of Ternium guarantees the continuity of Ternium and a strategy of differentiation focused on high-end and value-added products, operational excellence, continuous improvement and cost reductions and efficiency to generate long-term shareholders value, as we had the chance to discuss in the many Investor Days that we shared together. I look forward to working closely with him over the next few months of transition, and afterwards with my new role as Vice Chairman of Ternium. We are at this point enthusiastic to listen some thoughts on your side, Maximo. -- your side that will be, pretty soon, the driving side. And I appreciate all your efforts and all the things that you have done over the years, and looking forward I do have -- I'm certain that you will perform properly and you will increase and create value and success for our company. So please, Maximo.
Maximo Vedoya: Thank you very much, Daniel, for that kind words, and good morning to all of you. I think there is no doubt of your outstanding contribution to Ternium over the last past years, Daniel, and I'm very honored to be your successful, and I will work hard to live up to the high standards that you have set for all of us in Ternium. As you said, I'm looking forward to continue to execute our strategy that we set up over the years -- our strategy of differentiation, of operational excellency -- to continue to strengthen our customer base, to advance in the automation and digitalization of our value change and to develop even more sophisticated products. I am also eager to continue working with you during this transition period over the next few months; but I think, most important, I'm very pleased that you will continue to be available to me and to all our management team to advice and counsel in your future role as Vice Chairman. So thank you very much for that.
Daniel Novegil: Thank you, Maximo. I take the opportunity to congratulate you. You deserve this position. You are going to be no doubt an excellent CEO for Ternium; pretty much better than the current one. So I'm really very happy today of passing to you this legacy of excellence and performance and so on. Entering into our call today and entering into our quarter results, you can see in our numbers Ternium continues showing a very good result in the third quarter of 2017. And right after these remarks, I will ask Pablo Brizzio to share his view on the drivers of our performance in the period. But before entering into the third quarter results detail, I'd like to make some comments on what have been these 9 -- these last 9 months, where Ternium had accumulated an EBITDA of $1.4 billion; an EBITDA margin of 21%. we compare pretty well, as you know, against our peers and competitors. On the balance sheet side, we had a net debt -- we -- of just 1.5x, so that this continues to be an asset -- a very strong financial position, even after paying for the acquisition of CSA in -- former CSA in early September. So now let's go to pay a look and -- a brief overlook on what is going on in the global steel market and in our position in -- competitive position in the steel landscape. As you know, the world economy seems to be shifting to a more stable state, with expectations of some kind of healthy growth, so to speak, in most -- in the most relevant world economies. This kind of optimism is also reflected in the steel industry, based upon the strength of the U.S.A. and Europe's economies and a good performance of emerging markets economy. Look at the cases of Brazil and Russia, especially Brazil, where I think that maybe in the short range we are going to be witnessing a rebound and recovery in this economy that had a bad performance in the last 4 years. On the other side of the coin, China seems to have overcome a light slowdown in economy growth with a partial shift of drivers from investment to consumption, although with some help from government stimulus via investment plans in infrastructure, what makes the industry more competitive and healthy. Maybe a note of caution is here in order, to understand what is going on in China. Because as you all know, the -- China's debt levels are quite high, and these quite level -- these quite high levels of indebtedness could cause some disarray in the global economy if not managed properly by the central authorities. In addition to that, it is clear yet what will be the impact in China's economy of a possible future reduction on government stimulus. But on -- again, on the positive side of the coin, we are now looking at an interesting process in China where the drivers are, first, consolidation of the steel industry; second, real capacity reduction -- actual capacity reductions; third, a growing concern about the environmental impact of old facilities and not updated facilities, with old technologies; fourth, we also see in China a growing emphasis in companies' sustainability and economic performance, that this may be the most outstanding or more -- most remarkable change in this new phase of the China development. Meaning for that, as I said before, more emphasis in companies -- steel companies and companies in the business community, companies' sustainability and companies' economic performance. No doubt that these four factors -- consolidation, capacity reductions, growing concern on environment and emphasis in company performance and economic returns -- will bring about a healthier domestic price system in China, and also maybe, as we are witnessing these days, a good impact and reductions in export availabilities. So in the positive side of the coin, again, a healthier domestic price system in China and reductions in export availability, and these are facts that we are witnessing today. The recovery in prices in the domestic local prices in China is very interesting and impacting; and also, the reduction and the decrease in exports availability is on the data available for all of us. So having said that, all in all, we expect to see forecast for steel consumption worldwide adjusted up in most of the regions in the world, and our estimation is that these increases will also be seen in the Americas where, as I said before, we see a continuous good performance of Mexico following the -- also the domestic steel market of the U.S.A.; also good prospects in Argentina, as we can enter afterwards in detail in the Q&A; and an expected rebound in the Brazilian economy -- an economy that, as you all know, has -- was suffering in the last 4 or 5 years. Another point that I wanted to touch on today's initial remarks is related to the NAFTA -- the NAFTA renegotiations, where we have some uncertainties, some delays, some volatility; and maybe Maximo will quote on that in more detail afterwards, but I will ask him also to enter with some comments in this moment. Maximo, how do you see? Which are the perspectives that you are expecting? How are the negotiations doing? What is your expectation on the possible outcomes or probabilities of the different scenarios? Not an easy question, but --
Maximo Vedoya: No.
Daniel Novegil: Complicated, but anyway.
Maximo Vedoya: Not very easy, and clearly there's a lot of uncertainty about the future of the NAFTA and what is going on. The fourth negotiations were -- the 4 round of negotiations were over. The fifth round is going to be held in Mexico City. And as I said, and as you said, there is a lot of uncertainty about the future of NAFTA. But as all of you can infer from our recently announced investment in Mexico, our long-term view of the trade relationship between the U.S. and Mexico continues to be positive. The trade integration that happened in the region after the NAFTA implementation has been very positive for the 3 countries involved. It enables them to develop the manufacturer value chains that allows today the region to compete in good terms with similar value chains in Europe and even in Asia. I have no doubt that the agreement can be improved and the current negotiations could modernize it, considering that it's almost 25 years old. But of course, the question here is what if the NAFTA negotiators are unable to reach an agreement? What happen next? And we think that in that case we continue to see a region integration under the WTO rules. We believe the region would do, under NAFTA agreement, much better; but we don't see a major impact for Ternium's if the trade among the NAFTA members were ruled only by WTO regulations, if NAFTA ceased to exist. Trade in North American Region we think will continue. The U.S. and Mexican economy today are mutually dependent. Both countries will do better off with more trade than with less trade, and I believe Mexico provides a competitiveness to the U.S., which is something that the U.S. company value. Again, I think removing -- renewing the NAFTA -- continue with the NAFTA is the more logical step, but we don't see a major impact if the relationship between the U.S. and Mexico will be governed by WTO rules.
Daniel Novegil: Thank you, Maximo. Still some uncertainty, but I think that at the end there is no big impact of -- in any of the expected scenarios. At this point of the call and related to our investments in Mexico, I would now like to share with you my views regarding our latest announcement of the construction of the hot strip mill in our Pesqueria facility in Mexico, in Monterrey, which follow the announcement 6 months ago of the construction of a new galvanizing mill, a new painting mill, at the same site -- and a new painting mill at the same time in Pesqueria. These announcements of additional high-end downstream capacity in Mexico were the logical next steps after the acquisition of our new slab facility in Brazil, formerly known as CSA. The hot strip mill, once operational, will integrate upstream with Ternium's state-of-the-art slab capacity in Brazil. Again, which Ternium's state-of-the-art capacity that will combine with Ternium's state-of-the-art capacity in Monterrey for hot rolling. So -- and downstreaming into -- with our state-of-the-art facilities, as I mentioned, which has the latest generation of cold rolling and galvanizing equipment. So at the end, it will also help us to substitute hot rolled steel that we are currently importing from third parties into Mexico; and also, we will use some less efficient capacities -- some inefficient capacity currently in operation in Ternium. That means that, with this hot rolling capacity, we will increase our market share against imports. We will be taking over our own imports for the system. And in -- and third, we will be reducing less efficient capacity in Monterrey. As you already know, our aim is to meet the expected growth of steel consumption in Mexico and increase Ternium market share by taking over these high-value-added imports, mainly coming from Asia and from places where logistics and just-in-time delivery, value chain integration are obviously pretty much complicated and confusing. These new investments represent the next step of Ternium growth in Mexico, as with all of our investments over the last year, with each additional step we tried -- we intend to advance our differentiation strategy and to support our industry-leading profitability. A new hot rolling mill will be a significant technological upgrade of our industrial system in Mexico and will expand our product range in the country, with a broader dimensional offering and the most advanced steel grades. It goes without saying that we plan to carry out all these projects in time and on budget, as we successfully did with our previous investments in Pesqueria, like the industrial center and the Techint power plant, so that we are working very hard in order to have all our budget -- our strict budgeting control. And also, it is important to mention that even though the announced investments will require an increase in CapEx over the next 3 years, Ternium plans to continue paying an attractive dividend level at -- it has been doing consistently in the past will continue. There is no compromise between the expected dividend flow with respect to the increase in our CapEx, because it's very healthier funded. So no impact. We don't expect any impact at all. Before I close to these remarks, I want just to mention very shortly that we are also very happy with our announcement of a new steel bar production facility in northern Colombia. This is a limited investment, but this new investment will add to the significant footprint we have in this market that is growing, and we plan to -- through this new facility, to expand our market share by offering an alternative -- a local alternative to imports. Also, the location of the facility is a very important part of our decision -- was an important part of our decision, and so that we will be at the very best position to serve local rebar demand in the north of the country where there is no capacity installed at all, so that we will be in a part of the country where there is no supply and we will be also having the opportunity of taking over imports coming from abroad. So we expect there -- even if the investment is limited, we expect to create value in -- to our Ternium system in Colombia. And at the end -- and we all expect a very healthy and good transition period, and no doubt that we will continue working together and supporting each other, so that we do not expect any change at all in the strategy; any in the performance; and in -- also in the results. Because this is a continuity -- a very clear continuity in the culture a very clear continuity in the strategy and also in the way we approach and we do business in our system. At this point I don't want to be so long with this speech, so that these were the main issues I wanted to share with you today, and I will turn the call over to Pablo Brizzio, who will provide an overview on our financial results for the third quarter.
Pablo Brizzio: Thanks, Daniel. Good morning, and thank you, all of you, for participating in our conference call. As Daniel said, I will give you an overview of our performance in the third quarter of this year, and afterwards we will have the Q&A session. But first of all, let me take this opportunity, Daniel, to tell you it has been a pleasure and honor to work with you. And after working together with Maximo for many years, also let me tell you that I will do my best to help you in your new venture. So with this, let's please turn now to the Page 3 of our webcast presentation. Our overall performance continued to be strong in the third quarter of this year, with EBITDA generation of $466 million, slightly lower than the EBITDA in the second quarter, as anticipated in our last quarterly results conference call. Before we continue, let me remind you that following the acquisition of CSA, which has changed its name to Ternium Brasil, we began consolidating Ternium Brasil operating in September 2017. This naturally results in higher shipment volume in the quarter and the decrease of Ternium's consolidated margins. Having said that, looking at Ternium's EBITDA per ton on the lower left side and EBITDA margin on the higher right side, we posted in the third quarter a sequential decrease to $152 per ton and a 19% margin. These decreases were in part related to the consolidation of 1 month of Ternium Brasil results in the third quarter. This effect will be fully reflected in the fourth quarter as we will be consolidating a full quarter of Ternium Brasil's results. As for net income in the third quarter 2017, we reported $233 million, equivalent to earnings per ADS of $0.99, a $0.28 sequential decrease due to lower operating income and a higher effective tax rate, partially offset by lower net financial expenses, as we will see further on. In the following page, we can see that in the third quarter net sales in Mexico declined 5% sequentially, mainly due to lower shipments in part as a result of seasonal downturn or slowdown of steel demand in July and August in the automotive and the HVAC industries. Shipments in Mexico are going to have a further decrease in the fourth quarter as the seasonality extends to all industries and commercial markets by the end of the year. Let's now go to Page 5 to review the performance of the Southern Region. As anticipated, we are reporting a further recovery of steel shipments in the third quarter of this year. A markedly better business environment is fostering a gradual recovery in most sector in Argentina domestic economy, with the household appliances and automotive industries joining the previously ascendant agribusiness, industries, public infrastructure investment, and shale oil and gas field development sectors. Steel prices declined slightly in the third quarter in the region, and we don't expect significant changes in the following quarter. In the next page number 6, we can see the significant effects of other markets of the consolidation of Ternium Brasil slab sales to third party, mainly the U.S. and Brazil. In the fourth quarter of this year, other market shipments should increase again to reflect Ternium's full quarter consolidation and revenue per ton should decrease. On the next page we can see the combined effect of these developments on our consolidated net sales. We reported shipments of 3.1 million tons in the period, up 16% sequentially. Consolidated sales grew 10% in the quarter, and the consolidation of Ternium Brasil slab sales led to a 6% decline in revenue per ton. In the fourth quarter, revenue per ton should decrease, reflecting the lower value added product mix due to the Ternium Brasil slab sales and decreased steel prices in the Mexican market as a result of the stock in process in the U.S. Please turn now to Page 8 so we can see the drivers of the third quarter EBITDA. We have lower revenue per ton, principally as a result of a lower value added mix due to Ternium Brasil consolidation, and this was partially offset by higher shipments. The consolidation of Ternium Brasil also reduced operating costs per ton, but higher raw material and purchased slab cost offset such reduction. We expect sequentially lower EBITDA in the fourth quarter of the year, with higher steel shipments and lower operating margin. Shipments will increase sequentially as a result of the full consolidation of our operation in Brazil, which will be partially offset by seasonally lower shipments in Mexico. In addition, we anticipated, or we anticipate, cost per ton to be slightly lower sequentially, mainly due to the full quarter consolidation of Ternium Brasil, partially offset by higher cost per ton in Argentina. In the following page, Page 9, we can see the same graph but for the first 9 months. EBITDA increased on the back of [indiscernible] shipments and margins. Steel revenue per ton increased year-over-year in Mexico and in the Southern Region, and it decreased in other market as a result, again, of the consolidation of our operation in Brazil. The increase in operating cost per ton was mainly related to higher raw material and purchased slab cost. Let's now review net income on Page 10. There was a $49 million sequential decrease in net income, mainly due to lower operating income and an increase in the effective tax rate, partially offset by lower net financial expenses. Ternium's effective tax rate was 31% in this quarter, a more normal level after being 17% in the second quarter as a result of the non-cash effect on deferred taxes of the 5% appreciation of the Mexican peso against the U.S. dollar. Turning to the next page, we can see a year-over-year increase in net income in the first 9 months, mainly on higher operating income and a lower effective tax rate, partially offset by higher net financial expenses. Effective tax rate in the first 9 months was 19%. Again, the main reason for this low rate was the non-cash effect of the 14% appreciation of the Mexican peso. On Page 12, we can see the free cash flow in the third quarter. As expected, we reached $145 million in the period. We continue carrying on a moderate capital expenditure program. Of note in this page, working capital grew $97 million, due mainly to increase in trade and other receivables related to the new operation in Brazil. In the following page, we can see the same chart for the first 9 months. Free cash flow was affected by income tax payments of $515 million and an increase in working capital of $555 million. As you may remember from last quarter conference call, this main variation to reduce these items occurred during the first half of the year. Going now to Page 14, you can see an evaluation of Ternium's quarterly cash from operations, CapEx and free cash flow. The graph on the upper left corner shows the cash from operations recovered in the third quarter, and on the upper right corner CapEx remained relatively stable. In the lower right corner we can see Ternium's net debt, which increased to $2.7 billion at the end of September due to the payment for the acquisition of CSA, with net debt to last 12 months EBITDA ratio reaching 1.5x, a level which we feel comfortable. Okay. Thank you very much for your attention. This has been all the comments I wanted to make, so we are now ready to answer and to take your questions. Please, Operator, proceed with the Q&A session.
Operator: [Operator Instructions] Your first question comes from Marcos Assumpcao.
Marcos Assumpção: Good luck for Maximo. Two questions here on the results. First, on CSA, when do you expect to reach full capacity at CSA, or if you're already there, close to 5 million tons? And as you started to operate the asset, what is the room to further reduce costs? Second question on demand in Argentina. We're seeing that positive demand there spreading to other sectors; also on the appliance sector and the automotive as well, and you had that previous guidance of sales volumes growing by 10% this year and next year. Given the positive outlook for the economy there, could we see stronger volumes in Argentina in the coming year?
Daniel Novegil: Thank you, Marcos, and let me start with the same question related to the CSA acquisition. Currently, from the marketing on the sale at some point, we -- our plans for former CSA are -- regarding deliveries are the following: 2 million tons to Calvert under the current contract that expires in September '19; approximately 1 million tons of local sales in Brazil, mainly; and third, the balance to Ternium Mexico or third parties. So 4 customers: Calvert, Brazil domestic market, Ternium Mexico and third parties. As you know, the group of assets that we bought in Brazil are cash flow positive. We do not foresee any need for cash inflows for the ordinary operations. And regarding CapEx, as you know, CSA has already all the environmental permits that CSA needs for the operation, and so that the CapEx will be around, I could say, $50 million to $100 million per year on an ongoing basis. That includes the regular relining of blast furnaces if needed. Marcelo Chara is in charge of the operation -- is the new CEO of CSA. He's a very experienced manager; used to be the actual director for Siderar, Usiminas and [indiscernible]. And any time -- every time we enter into a company this size, we develop a turnaround plan that -- where we add our knowledge, our experience and our track record to the existing system, so that Ternium will work in every aspect of the business to take CSA to its maximum potential, as we do with all our facilities. You know that we have a 100-days plan after an acquisition, and we have budgeting and we have a very strict set of means and recommendations in order to improve productivity in each particular area of the company. Regarding your question regarding production in particular, we are now running the company around 5 million tons -- 4.8 to 5 million tons per year and we do believe that is -- that there is ground, through streamlining, productivity, efficiency and so on and so forth, to increase this value. I wouldn't like now to quote on a precise number above 5 million tons because it's our main target nowadays in the short range, but no doubt that we see, and we saw during the due diligence period, that there is room for improvement there. And Marcelo Chara is the right person to take advantage of this opportunity and this -- at this facility -- in this facility. So at the end, our target is to increase the output and the quality level of the company to reduce the production cost, to explode and to take advantage and to catch synergies driven by opportunities to improve production, coordination, quality, product range, at the consolidated level; and also the inclusion of CSA in our procurement portal, whose name is Exiros, as you know, where we expect to increase economies of scale and economies of scope and bargaining power vis a vis our suppliers, so that we also expect there to catch and to take the opportunity to create value with synergies that were not considered when we make the evaluation of the company. So we have some opportunity -- good opportunity there, in production as well as in costs and in productivity. Regarding the situation in Argentina, let me quote on some ideas, because your question is broad, and I understand and I know that many of you have some ideas and some questions regarding what is going on in Argentina. The prices in Argentina, first, to start, is in line with prices in the region. Making -- saying the region or mentioning the region, like being Mexico, U.S.A. and Brazil. So the domestic prices are quite similar nowadays. We are not anticipating in this side big changes in the very short run, and in the short run as well. The demand, that is your precise question, in 2017, is really rebounding, and is really doing very well. And we see an important recovery of Ternium shipments in the second semester of 2017, and we also expect another increase -- important increase in 2018. So maybe the numbers that we are expecting and forecasting for the first semester of 2018 will be record levels -- all-time record levels for our operation in -- our domestic operation in Argentina. So we are quite optimistic and we are feeling that the economy is responding to the new economic plans that are better and are being managed by proper people, and very qualified, and they are doing the right things in the right time. So we expect the 12.5% steel consumption growth in all for 2017, with respect to 2016, being the sectors that are doing better: agribusiness; infrastructure projects; alternative energy -- wind and solar; and oil and gas -- as you know, there is an important reservoir of gas in Argentina whose name is Vaca Muerta that is bringing very good winds of prosperity to the oil and gas sectors. Also, there are some sectors that are showing nowadays a higher level of activity, like private construction and the auto industry, where Argentina is also reaching record levels of sales but still is affected by some kind of slowdown in Brazil. But as you know, the auto industry in Brazil is rebounding and is expected to further rebound and increase and grow in 2018. So there are also good prospects for the automotive industry regarding the connection with Brazil through the Mercosur. Also, home appliances are doing well. So I think that the recent elections confirms that the reforms in the country will continue and deepen, and this brings a very positive political and economic environment for investment and growth in the medium term.
Marcos Assumpção: Perfect. And I also wish you success in your new position at the board.
Daniel Novegil: Thanks a lot, Marcos. I do appreciate your comment. Thanks.
Operator: Your next question comes from Carlos De Alba.
Carlos De Alba: Daniel, congratulations on a successful tenure in Ternium, and all the best in your new position. Maximo, good luck also with the big change in responsibilities. The question that I have has to do with, what do you expect in terms of working capital going forward this year? Clearly, because of the increasing prices, a lot of the EBITDA generation has been sucked up into the balance sheet and into working capital. Going forward, can we expect stable levels of -- or at least more sustainable levels of working capital, so that cash regeneration increases? And also, if you have any updates on your views for the growth in steel consumption in 2018 in both Mexico and Argentina, plus any updates on your CapEx plans for next year and the total amount of CapEx if you have it already, that would be great.
Daniel Novegil: Thank you, Carlos, for your comments and your remarks. So let me pass the working capital issue to Pablo Brizzio and then I'll come back to see some more updates on Mexico and Argentina and CapEx.
Pablo Brizzio: As we have described in the initial remarks, we confirm what we were expecting for this quarter, and the big impact that we have in working capital during the first part of this year. The main change in working capital for the year was during the first semester, where we have the increase in price of the product, the volume increases and of course the tax payment that we already mentioned. The most significant change that we saw during the third quarter was related to pulling together Ternium Brasil in our financials and the impact of the new product that the Brazil operation is selling and the trades in relationship to that. So we are not expecting to further have significant changes on working capital in the coming quarters. Of course, you know that you have some changes in relationship to the different plans or CapEx that we need to do in relationship to the maintenance of the different facilities. But since we are not all suspecting, as Daniel mentioned, significant changes in prices, there should not be big movements in the working capital in the coming quarters. And in fact, this is the goal that we have to sustain the working capital levels that we have been seeing at the end of the third quarter, and coming into the fourth and the coming year we are expected to sustain, and even if we can reduce a little bit working capital. So Daniel, I don't know if you want me to answer in regards to CapEx or [indiscernible]?
Daniel Novegil: Let me comment first on the situation in Mexico, Argentina, and then into CapEx. Regarding Argentina, as I said before, there are sectors that are doing really very well, Carlos. I think that we had a chance of talking about that at the last meeting we had. And agribusiness is doing very well. Infrastructure is doing very well. Argentina is lacking investment in infrastructure, and now there is an infrastructure plan that will last for 5 or 6 years in order to update logistics and harbors and railroad systems and roads and so on and so forth, so there is going to be a source of demand for steel, and also the alternate energy, wind and solar. And oil and gas are also doing very well. On top of that, the home appliances are recovering. And the automotive industry is doing very well regarding sales; not yet in production, because of not having the possibility to export to Brazil until the market in Brazil fully recovers. That will be something that we expect for the coming year. The coming year is expected a total production of cars in Brazil of 2.4 million cars approximately. That means that there is an outstanding recovery from the 1.4 million, 1.5 million that it's had in the recession some time ago. So it's an important recovery. Regarding Mexico, Mexico is also doing well. But let me first share with you some precise numbers on Argentina. In 2017, the shipments, or the steel use, I could say -- the steel apparent consumption in Argentina of flat products will increase around 12.5% in relationship with 2016. That was not a good year. In 2018 we expect another growth against 2017 of 10%. That means that we are accumulating 12.5% in '17 and 10% in '18. So the market is doing well. With these numbers, in 2018 the domestic consumption will be above the record levels of 2015 and it will represent record -- all-time record levels for Siderar. To have a more micro idea, in the second semester of 2017 we are expecting the growth against second semester of 2016 of 22% in steel consumption, and we are expecting in first semester of 2018 against first semester of 2017 a growth of around 18%. So Argentina is doing well, with very good perspectives, and maybe we'll have some adjustments because of cutting the budget deficit, because of fighting inflation rate that is still very high, and because of trying to reduce the debt -- the total public debt. But at the end, the economic reform is in place and it will have a positive impact in the medium term and in the long term. And as I said before, the managerial team that we have in public administration in Argentina is really outstanding, especially if you compare with the previous administrations. So the right people, right place, is taking the right decisions and doing well. In Mexico, some uncertainty, as Maximo was remarking in his comments; but at the end, after this negotiation or renegotiation, or whatever you can name it, in NAFTA, we will see in Mexico a continuous growth. But if not, and if the growth decelerates for any reason, we are working at full capacity in Mexico. We are trying to improve the capacity through efficiency, streamlining and working very hard on the existing agreements. And remember that we still have there in flat products a market share from imports that is about 40%, almost 50%, 50% of the market being taken over by imports. So at the end, if there is no growth at all, we are -- still be working at full capacity, serving the customers that are in our backyard, and are in our network of -- our commercial network. In CapEx, I will pass to -- the word to Pablo, that can give some remarks on that.
Pablo Brizzio: Okay. We have been running a very low level of CapEx in the last years, after the latest CapEx plan back to 2014. So this year will end a number that we are already expecting at the end of the year of around $450 million. And in the coming year, in 2018, we will move that number to a level that will be close to $600 million. That of course does not include the big chunk of the investment related to the announcements that will be impacting fully in the following year, in 2019. But our expectation, pulling all together for 2018, is around $600 million.
Operator: Your next question comes from Leonardo Correa.
Leonardo Correa: I would also like to extend my congratulations to Daniel. Great work over the past year, Daniel, and many accomplishments and achievements, and much -- I hope things can be smooth, and I'm certain that we're going to see a very smooth transition going forward. In terms -- just in terms of some of the questions, first one maybe for Pablo -- and I know that this quarter we already saw the new -- let's say, the new numbers, and we got a little bit of indications on how to see Ternium's numbers. But just picking on EBITDA per ton over the next quarters on how to think of these -- this metric over the next years, especially now with the consolidation of CSA, which is a lower-margin business, right? So just wanted to -- or, sorry, a lower-EBITDA-per-ton business. This -- a second point, which is -- sorry to be asking something that maybe we have very little visibility on, but thinking of Section 232, which in the United States is still seen as a catalyst even though it's been highly delayed, just wanted to get your latest thoughts, Daniel, on Section 232 in the U.S. and potential implications on your business. This -- I assume this is probably going to be an event for 2018 only. And finally, if I may, just on dividends, guys, this obviously has been the hot topic over the past years. And I understand there is no formal policy and this is going to be discussed on a case-by-case basis. But just considering now leverage moving up to 1.5x, which perhaps is a bit higher than the comfort zone for Ternium over the past quarters, how do you see dividend specifically in 2018? Those are the questions.
Daniel Novegil: Thank you, Leonardo, and I really do appreciate your comments on my performance. And I will pass to Brizzio for the first and third question, and then Maximo will quote on the 232, that is an easy question.
Maximo Vedoya: Yes, very easy.
Pablo Brizzio: As we reflected into this third quarter, that all included one month consolidation of our operation in Brazil, there was a clear change in the EBITDA per ton and in the EBITDA margin. We moved these 2 numbers into this third quarter to $152 and 19% EBITDA margin. The expectation for the following quarters, that clearly as you mentioned will fully consolidate our operation in Brazil, including the 3 months of the quarter, will impact in our numbers. But as we already gave the outlook for the quarter, we are expecting some reduction in relationship mainly to issues of Mexico with the seasonality and other things. So we will -- we are continue working with the same range that we have been working in the past, which is to sustain the level of EBITDA margins at a range between 15% and 20%, trying to work these as high as we can. Clearly, after the inclusion of lower value added product sales of slabs to our customers in Brazil and customers in the U.S., which are the only one reflected in our financials, we are reducing the margin. In any case, we expect to sustain this very healthy level of EBITDA margin. In the case of EBITDA per ton, as we always say, it is something that we prefer -- we know that you like it, but we prefer not to quote in that one, because at the very end it's dependent on the prices of the steel. But clearly we'll suffer a little bit also in that respect; but we will continue working on everything that we do to sustain the -- this new level of EBITDA margin. So with this, Daniel, if you would like to mention in the second one.
Daniel Novegil: Yes. No, no. In the second part, in the Section 232, I would say that there are 2 issues there. One is regarding the impact of the 232 in prices, that is maybe what Leonardo is trying to quote about. And also, then, the impact in trade between Trump and -- between NAFTA and Mexico. I will quote in the first part, regarding the prices in U.S. and Mexico -- as you know, Leonardo, prices have been gradually decreasing in the U.S. and Mexico as well since September. We have I would say 1.5 months of decreases in pricing. These decreases in prices in Mexico obviously are in line with the prices in the U.S., and maybe because -- there are different factors. One, commercial products demand in the south of the U.S.A. was a little bit weak as a result of the earthquake. And -- but now, as reconstruction efforts are taking some time to start, it will bring about good winds of rebounding in the south of the U.S.A. Imports are also quite high at this point in time in the U.S., coming especially from Asia. What gives the ground for the 232? I believe -- regarding prices, Leonardo, I believe that maybe we are pretty close to seeing the floor on this price decrease in the moment. And the fundamentals for the rebound that I expect in prices in this particular market -- in the U.S. market, especially in the beginning of 2018, given that the rest of the fourth quarter is weak because of seasonal factors, is that we see in the U.S. a steady end user demand. That is the main factor, the demand side. On the supply side, we also see that the U.S. steel industry is running at a utilization rate of 75%. That is quite high related to the history and is a quite -- very high level of utilization rate for the U.S. That means that any production disruption because of any factor -- weather; whatever -- it could immediately impact in the supply side, and maybe it will be giving room for a price recovery. Also, inventories and lead times in the customer side showed that they are about to stop the recent restocking. Inventories are lower than the standard ones and the lead times are short, and that means that it will go to longer in the short run. That means that, together with and coupled with the high capacity utilization, will give ground for some price rebound. Also, we see a very active and supportive stance in the U.S. as well as in Mexico against unfair trade -- these imports coming from abroad are negatively impacting the consumption and will bring some reduction. Maximo, your view on the 232, Mexico, U.S., trade, NAFTA?
Maximo Vedoya: Thank you. Well, regarding specifically the 232, I think, Leonardo, you are right -- we are seeing that the 232 has been pushed forward, and if it comes it's going to come somewhere in 2018. The Trump administration has prioritized other things and they are putting this a little bit forward. Nevertheless, the case for 232 -- I think it's still open and I think there is a chance that the 232 is going to pass. What we are not seeing is that Mexico is going to be included. The trade between flat products between Mexico and the U.S. is very positive to the U.S. It's almost 2 million tons -- 1.6 million last year. It's going to be around 1.7 million or 1.8 million this year. So it doesn't make any sense to restrict commerce in something that is very, very positive to the U.S. So I think there is a chance that the 232 is going to come later, but we don't see much impact on a negative side.
Daniel Novegil: If the concern is on trade deficit, in steel you have a trade surplus.
Maximo Vedoya: Exactly.
Daniel Novegil: For -- that is beneficial for the U.S. So there is no sense to try to fit or to fix what is already doing well.
Maximo Vedoya: Yes. Exactly.
Daniel Novegil: It is better to concentrate in China or some other trade negatives. But anyway.
Pablo Brizzio: Okay. If you let me, Daniel, I will take the third part of questions that Leonardo made, which were related to dividend policy. You have seen that the company continues to generate very strong EBITDA. This year will be the case. This year, we have a significant investment, which was the acquisition of CSA that we consider a great opportunity, but the level of net debt to EBITDA continues to be strong at 1.5. So we moved from 0.6 to 1.5. And though, as you said, we don't have a formal policy of dividend and this is announced once a year, we have no reasons to believe that they see -- next year the dividend payment should be at least the level that you have seen this year.
Operator: [Operator Instructions] Our next question comes from the line of Caio Ribeiro.
Caio Ribeiro: So my first question is regarding the expansions in Mexico and Colombia, and whether you can give us some additional color on what type of contribution that you expect in terms of additional EBITDA coming from these projects. And my second question, from a more strategic point of view -- after the acquisition of CSA, which helped Ternium bridge a slab deficit that the company had for a very long time, and the announcement of the expansion in Mexico, which will integrate this additional slab capacity from CSA, I just wanted to get a sense from you on what you believe will be the next landmark for the company that you will aspire to achieve, and where you see additional potentials to unlock value here, whether it will be through additional growth in existing markets, or cost-cutting at existing operations or perhaps expanding to new markets.
Daniel Novegil: Well, let me take a stab for the last part of your question, Caio, and this is related with which are our plans now. We are in a process of consolidating. We have done an acquisition that is important even when the debt ratio is very healthy. We are also -- we have to consolidate the downstream integration of this facility into the expansion in Mexico, and -- so that our efforts, our targets, our main drivers now is to consolidate and to create value on the investments that we are doing. So we are in a kind of, so to speak, swallowing and digestion move. And the mode is that we have to swallow first and to digest then, and afterwards maybe we will be thinking over about what to do moving forward. Pablo, you want to quote on the first part of question that...?
Pablo Brizzio: Yes. Okay. And this goes in line with what Daniel has just said. We are extremely happy with the decisions that we took in relationship to the new investment plans, both in Mexico and Colombia. Clearly, as you know and we described in the past, we have a minimum internal rate of return for these -- any project that we will take, of around 10%. In this case, we clearly overpassed these percentages because we clearly believe that these 2 projects, especially the one in Mexico which is the biggest one, clearly is targeting a significant move for the company to keep growing in an expanding market and substituting imports. So clearly, these are 2 projects that are -- that will generate a positive number for the company and will contribute to increased EBITDA generation. Well, we will need to wait until 2020 in the case of Mexico to have these project completed, so -- but right now we are looking at very healthy CapEx plans.
Caio Ribeiro: Perfect. And if I just might have a quick follow-up here, regarding leverage with the consolidation of CSA, right now it's at 1.5x net debt and potentially moving higher in the next couple of years. What do you guys expect in terms of a peak in leverage, and what are some of the initiatives that the company could choose to adopt if leverage turns out that it surpasses this threshold?
Daniel Novegil: Well, we don't have a specific target. On -- the other way around: we like to have the most strong financial position we can, and we will work in the coming quarters to even further reduce the leverage ratio of the company. The CapEx plans that we have been explaining, and in relationship to a question that we have recently, which was the level of CapEx for next year, which still will be more a level of CapEx of $600 million for the following year. So -- and then in the following one, in 2019, we will have a higher level of CapEx in relationship to these new plans. So we will continue to -- and our goal and our target is to continue having this very strong level of financial statements and to sustain a moderate level of debt. And we have never overpassed, in the history of the company, levels of around 3. But we are very far from that numbers, or we are not even thinking of reaching numbers at that level. So we will continue working on having and sustaining a very strong financial position.
Operator: Our final question comes from the line of Thiago Lofiego.
Thiago Lofiego: I'm not sure if that's me. Thiago Lofiego here from Bradesco. Can you hear me?
Daniel Novegil: Yes, Thiago.
Thiago Lofiego: So I have two questions, the first one regarding the competitive environment in Mexico in the coming years, especially considering ArcelorMittal's recent expansion program, which is pretty much focused on downstream product as well, quite similar to your own strategy. So if you could comment on, how do you see competition evolving? I know Mexico still as a country imports a lot of steel, so there may be room for everybody. But just to understand, what's your thoughts on that? And the second question on Argentina. How should we think about pricing dynamics from here? Considering a scenario of flattish international steel prices, would you see room for price hikes in Argentina in 2018? That's it.
Daniel Novegil: Good. Thank you, Thiago. Regarding the competitive environment in Mexico and the impact of the announcement -- the recent announcement of a Mittal new hot rolling mill, I would say that -- 2 things. First, there is enough room in Mexico for them and for us. As I said before, the imports of flat rolled products are gathering 50% of the market -- 5-0. 50% of the market. That's a huge amount of steel. So there is enough room for both plants, and no doubt that we will have together the opportunity to gain market share against imports coming from different places, different level of quality, say, logistics complications, just -- un-just time deliveries, and so that we have a good opportunity for both of us, first. Second, for us, the downstreaming of our operation in CSA, that is the main reason for our investment in Mexico, is a continuity of value added that ends up in service centers, lead-in lines, [indiscernible] lines, galvanizing lines -- the new galvanize facility that we just announced 1.5 months ago, coated facilities. It's not the case of Mittal. Mittal is going to be building a hot rolling mill whose level of integration in comparison with our vertical level of integration is really very low. I'm not being detrimental to the investment, but it's a fact. The -- we are going to be increasing the whole value added chain. And so the level of integration of one facility on the other is quite different, first. Regarding the -- let me also quote, before going to the Argentine pricing situation that we're -- Pablo Brizzio will comment in detail, let me tell you that, regarding the outlook of the company, even when in our quarterly report we said that we are going to be having a lower level of result, I -- we do see a slightly downturn in these numbers. Slightly, I would say. But we are going to be still having a very good EBITDA ratio; a very good EBITDA total value. And also, and following up on one of the previous questions, regarding the cash flow levels, the free cash flow levels, we do have opportunities now to work in a better concentration in working capital, so that we have there reduction opportunities because of the fact that we are going to be supplying part of our needs from our own facilities. That means that we have an interesting room for the reduction in working capital in slabs to supply what we were buying from abroad and from third parties. So regarding the free cash level -- free cash flow level, I'm pretty optimistic that we have room for, and opportunities for having a good result. Regarding the EBITDA ratio, even when it's going to be maybe a little bit below the number, it's going to be healthy -- still very healthy. Regarding prices in Argentina, Pablo?
Pablo Brizzio: A very short answer to that. We are currently moving at prices level in Argentina we are -- which are very, very similar, in fact the same level of prices that we can see today in Mexico, or in the U.S., or in other parts of our region. So we are expecting to see continuity of these. If we see change in prices, even -- either up or down, you will see exactly the same reflection in the prices in Argentina. So clearly, a very open market, the one that we have in Argentina, and prices will reflect what we see in the region.
Daniel Novegil: That are quite similar to the ones in Brazil, in Mexico and the U.S. The pricing system of Argentina is not different. As we have mentioned in and quoted in some of the Investor Days, at conferences and so on, the prices are good. And the costs are very, very competitive because of economies of scale, because of market share and because of the relationship with customers, networking -- commercial networking and so on. Gentlemen, we think that we -- Sebastian, if it was the last question, again, I would really thank you for your participation. I really appreciate your comments on the performance of Ternium and my personal involvement in that, and also I would appreciate your desires of good luck to my successor in Mexico that, on top of being an outstanding executive, has been a very close friend of mine for many years. And so Mexico is -- so Maximo, good luck.
Maximo Vedoya: Thank you.
Daniel Novegil: Your success is our success. So team up, lead and go for it. All right. Thanks a lot again, and we hope to see you again shortly. Any questions to be driven by Sebastian.
Sebastián Martí: Okay. Sure.
Daniel Novegil: Bye. Thanks a lot.
Operator: This concludes today's conference call. You may now disconnect